Operator: Hello, and welcome to the Dream Unlimited Corp. Fourth Quarter 2025 Conference Call for Tuesday, February 24, 2026. During this call, management of Dream Unlimited Corp. may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp.'s control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp.'s filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Unlimited Corp.'s website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you, operator, and I'd like to thank everybody for joining our conference call today. I'm here, as always, with Meaghan Peloso, and I'm going to turn it over to her in a second, but a couple of comments are that our fourth quarter was very strong, leading to a very strong year for 2025. But aside from the numbers being strong, there's a number of events that happened that I think are going to make 2026 an even stronger year. And I think our company is more valuable as a result of the fourth quarter of 2024, and we're excited about the momentum coming into -- 2025, we're excited about the momentum going into 2026. Meaghan, do you want to outline the quarter?
Meaghan Peloso: Sure. Thanks, Michael. Hello, everyone. Overall, we had a very strong fourth quarter with 2 significant transactions completed in the period. Net earnings on a stand-alone basis in the quarter was $56.2 million compared to $135.7 million in the prior year. Comparative results included the gain on sale of $157 million related to A-Basin, which was sold in November of last year. So quarter-over-quarter results are not directly comparable. I'll walk you through our segmented results, which represents our stand-alone activity only. In the fourth quarter, our Asset Management division generated revenue and net margin of $61.5 million and $52.9 million, respectively, up significantly from the comparative period. Now included in our fourth quarter results was $44.8 million from incentive fee income from DIR, resulting from the CPP joint venture transaction. Subsequent to year-end, 75% of the incentive fee was paid in cash with the remaining balance taken in units of the REIT. In the fourth quarter, Western Canada development generated revenue and net margin of $113.5 million and $42.5 million, respectively. We achieved 438 lot sales, 204 acre sales and 38 housing occupancies in the quarter, which included a 201 raw acre sale in Edmonton to a joint venture, which generated revenue and net margin of $19.7 million and $15.8 million, respectively. Now adjusting for the JV, fluctuations in results period-over-period were really driven by the specific mix of lot acre sales. We continue to make steady progress on our land presales commitments. And as of February 20, we've secured nearly $150 million in lot acre sales commitments that we expect to be recognized between 2026 and 2027, which is up by $28 million from the last quarter and great momentum for the land business entering 2026. In the fourth quarter, our income properties portfolio generated revenue and NOI of $16.7 million and $8.4 million, respectively. This compared to $15.6 million and $7.1 million in the comparative period. The increase in NOI relative to last year was primarily due to lease-up activity across our completed apartments in Western Canada. So as of period end, we had nearly 1,100 multifamily units within the income property portfolio that are either stabilized or in lease-up and a further 950 under construction that will be completed over the next 24 months, all of which will further support the NOI growth for the division. Our Other Investments segment generated $11.1 million in revenue and $5.3 million of negative net margin in the fourth quarter. Comparative results included earnings from condo sales with no similar activity in the current year, and we also realized certain cost to complete adjustments on closed projects in the quarter, which we would not expect to have period-to-period. Over the course of 2025, we spent just over $8.9 million in share repurchases, which works out to about 2% of the float. We've been fairly active with our buyback so far in 2026 and expect this to continue throughout the year, such that we expect to buy back at least twice as much this year compared to 2025. In 2025, we paid out $27 million to shareholders and with the fourth quarter results are announcing that we are increasing the annual dividend from $0.65 per share to $0.70 per share. Lastly, we ended the quarter with ample liquidity of $324 million, which is fairly consistent with where we were at, at the end of Q3. As of December 31, we ended the period with $215 million of debt maturity in 2026. But this includes about $60 million of debt that's actually [ auto ] renewed in December of each year. So our real maturity figure is much lower. We're in advanced discussions with our lenders for maturities over the first and second quarter, and we'll provide updates over the course of the year. So with that, I'll turn it back over to you, Michael.
Michael Cooper: Thank you, Meaghan. Over the last few years, we've been talking about the 3 major segments of the business: asset management, Western Canada development and income properties. And as we've been speaking about them, I think that 2025 really brings into focus how much they're contributing. So at the beginning of 2025, we announced a $2 billion venture to buy apartments in Canada, value-add apartments. And in the fourth quarter, we announced a new venture to buy $3 billion worth of industrial with CPP. So that's $5 billion of new ventures, of which we've invested about $1.1 billion on behalf of our clients. In addition to that, the Summit Venture continues to grow. I think it added about $0.5 billion last year. And we've been successful pursuing some new opportunities in 2026 already. In addition, the REIT has a fair amount of capital, and it will be growing more on its balance sheet this year than it has in others. And finally, through some of our construction and our other vehicles, we'll be growing the assets under management. So it looks pretty healthy for asset management. I think we're going to continue to have incentive fees on an annual basis for some amount, and the base fees are growing, so -- and transaction fees are growing. So asset management is starting to look the way we had hoped it would. And hopefully, we'll find other new clients in 2026. For 2025, Western Canada was a little bit sloppy with -- we didn't get all of the servicing from the cities that we needed to recognize sales. So a bunch was pushed into 2026, which obviously be good for 2026. We did have a joint venture, which was good. And I think that we're seeing a little bit less volume from ultimate purchasers of houses the last 4 to 6 months, and we're hoping to see that improve as the spring comes. But in any event, Western Canada, we've got Coopertown approved. Homewood is coming. It's not done yet. So 2026 should be a good year, but it's really going to start in 2027 when we've got Homewood all approved in all of our projects. Alpine Park has been going well. We have a tremendous number of presales there for parcel sale. So I think we're really starting to get some momentum. And then I'll get into a little bit later, but in Western Canada, we've got quite a few income properties that we've built over the last few years, again, since 2020. And we've got a lot under construction that's finishing up soon. We've done really well in Western Canada leasing up the income properties. And we're pretty confident that as we deliver the units over the next 24 months, we'll continue to grow our income. And then our income properties, it's interesting. We're just under $1 billion of assets, and we'll probably get to $1.4 billion in the next couple of years. That's a 40% increase that's going to drive a lot of growth. We are seeing in Ontario that the rental rates aren't where we'd like them to be. There's been so many condos developed, and we're competing with them on rent. I think the numbers are -- there were 80,000 condo transactions in Ontario, 15,000 sales last year and 65,000 rental. So there's a tremendous volume of rentals going on. And as the condos slow, we expect to see a lot more strength in pricing on the apartment rentals. Having said all of that, we hit 95% in our Toronto buildings this year, including Maple House and [indiscernible] House. And Block 3/4/7, we're now in leasing, and that's going pretty good, too. So we're getting the volume of leasing, and we're just hoping to see the rates tighten up a bit. Meaghan and team put together a supplemental information package. I want to point out 2 slides. On Page 4, we have revenue from our asset management business, and it's gone from $38 million in 2022 to $100 million in 2025, increasing every year with a big incentive fee in 2025. It will be hard to beat that in 2026, but we're highly confident we're going to beat all the base and transaction fees and get some incentive fees. So hopefully, we'll get pretty close. The other slide I thought was interesting was if we go to Page 10, it's income properties, similar pattern of increasing net operating income from income properties every year for the last few years and especially that we really had no apartments in 2020, so it just starts in 2021, it's getting pretty big. And if you take a look on Page 8 in income properties, it's the pipeline that Meaghan was talking about. And on it, there's just over 100 apartment units that are finishing up in 2026. And that's going to -- they're going very well, and we expect to have good leasing on it. We've also got our retail center in Alpine Park, and it's well leased and coming online. So we're excited about that. But in 2027, we're looking at having over 800 units contributed to -- at our share contributed to our apartments plus another 46,000 square feet of retail. So I think that 2026, we're going to see a significant increase in our net operating income from income properties, but there's going to be a big increase in 2027 and then another big increase in 2028 as we stabilize all the buildings come on in 2027 and add some new ones. So I think that's very exciting. And then in other -- the category other, we've had some pretty big accomplishments. We've mentioned this a few times. It's probably been a year we've been talking about 49 Ontario and going through all the steps, and it might sound boring, but we're very pleased that as of January 5, we had the first draw on a $600 million loan. We're well under construction. We brought in a 10% partner, and we're off to the races on that development. But just like 49 Ontario, now we're starting to talk a lot more about Quayside. And on Friday, we had the closing of a restructuring where we split the Quayside into the condo lands and apartment lands. And instead of the Dream Group owning half of each, as of Friday, the Dream Group owns 100% of the apartments and our partner owns 100% of the condo units. As a result of that, we're able to proceed with CMHC to complete the commitment for the funding for the development. We're partnered with the City of Toronto and Waterfront Toronto. We still have some work to go there, but it looks like we're in really good shape to be able to start that development prior to the end of the year. And that's a major development for Income Trust and Income Fund. Our hotels have been doing pretty well this year. The stocks have been doing okay. And overall, we feel that the company is in very good shape. And aside from having decent earnings, we're definitely building for the future where each of our major groups is -- has momentum to grow earnings for '26, '27 and '28. That's basically my comments. We'd be happy to answer any questions.
Operator: [Operator Instructions] Your first question comes from Sam Damiani with TD Cowen.
Sam Damiani: Congratulations on the great finish to the year and start to '26. I guess, firstly, just on asset management, Michael, I think it was last quarter, you said you had good visibility on sort of $2 billion of AUM growth. But a month later, you announced the deal with the CPP with Dream Industrial. Just wondering if you were to sort of update that statement today, would you change it?
Michael Cooper: Well, firstly, I appreciate you commenting on my credibility of putting out a statement and being able to prove it. So I hope that puts us in good stead for all our calls. Well, I mentioned that we have a fair amount of dry powder, so we can see how we're going to grow the assets with existing deals. You know what, it's -- Canada is more in favor, and we're seeing more interest from both foreign investors and local. So we're feeling more confident at this time of the year than we did last year for the deals we've done. So I mean, I wouldn't be surprised if we get 1 or 2 more going in 2026. So it's very positive. But no, I don't -- we don't have the visibility like we're going to announce something next month.
Sam Damiani: Okay. I wasn't trying to leave you there, but okay, I appreciate that. And just on the Western Canada, the lot sales were up about 10% year-over-year. Was there any sort of pull forward from '26 into 2025, that 681 lots was a pretty high number in recent years. Like do you expect to potentially repeat that in 2026?
Michael Cooper: No, we didn't have a pull forward. We had a push out. So we actually have a bunch of lots that we thought we were going to sell in 2025, but because of the servicing, we won't recognize them until first and third quarter of '26.
Sam Damiani: Okay. All right. And that slide you mentioned in your comments, I think it was Slide 10 with the sort of cadence of apartments coming online over the next few years, really interesting. The NOI contribution by multifamily is a little less than 50% still. But do you think apartments will contribute over half of total NOI in 2026? Or might that be until 2027?
Michael Cooper: 100% by 2027. 2026 I'm not sure. I mean we're adding the 60,000 square feet. I'm not sure. But a lot of the buildings that we have, they're going to be producing more -- sorry, a lot of the ones that had finished will produce more in '26 than '25. So it will be close, but definitely in 2027.
Operator: [Operator Instructions] Your next question will come from Ian [indiscernible], a private investor.
Unknown Attendee: Just one quick question about Quayside and the reorganization. Does that mean having split it that Dream Impact is up to 25% on 6 acres? Is that how it works?
Michael Cooper: Yes. That's 25% -- I don't want to talk too much about acreage because it's a complicated partnership where some of that land will have affordable housing on it that we don't own. But yes, 25% of the 1,200 units will be owned by Impact Trust and 900 by a private fund.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Cooper for any closing remarks.
Michael Cooper: On the closing remarks are thank you for tuning in. And Meaghan and I, as always, are available to answer any further questions you might have.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.